Benoit de Ruffray: Good evening all, and welcome to this presentation of the half year results of Eiffage. As you have seen in the opening of the project of the substation OSS Jasmund for the wind farm Windanker and the Baltic Sea implemented by consortium HSM Offshore Energy, Smulders and Iv. The know-how of HSM and Smulders are very complementary, and we have grabbed the opportunity to reacquire HSM Offshore Energy, while we had already 4 projects in common and that the teams know each other well. This acquisition strengthens our presence as constructor on the market of substations, very dynamic in Europe. Let's move to the highlights of the first half year. It went very well according to our expectations and confirms our outlook for 2025. As expected, organic growth goes on to contribute to the growth of the group, plus the external growth. As announced, the Construction division, in spite of a downturn at the first quarter is back to growth as of end of June. This half year signs again a very strong growth in Europe outside of France, to a rate of 17.4%, 17, 1-7 point 4. Commercial activity remains important in all our business lines. Recovery plans in some countries in Europe, especially in Germany, will absolutely support and amplifying the development of our activities. The strong multi-annual visibility acquired last year remains present. As illustrated by our order book always its highest and which has been strengthened again. Construction side, the half year was marked by intake of orders, very diversified in size in all of our countries of operation. Good example of emblematic contract, the design build project of Frontex's headquarters in Poland. 69,000 square meters building that will welcome 2,000 employees. Project will there on the expertise of Defor, Polish subsidiary of Goyer, who is working there for over 35 years in this country. The teams of Eiffage AmÃ©nagement were entrusted the implementation of eco-district in Pont des Gains in Breuillet, in the France, an ancient disused site of 5 hectares that will leave the place to a new borrow with 450 housing units, landscaped areas, shops and economic activities. Eiffage Construction was entrusted in groupment in contract, the design building of Institute of Biology and Pathology of Bordeaux on the hospital of Pessac. The new institute with a surface of over 16,000 square meters will have labs, offices and storage areas. Nemera, global specialist in drug delivery devices devoted to Eiffage Construction, the implementation of its new production sites, 7,000 square meters in Seine-Maritime. Heating, ventilation, air conditioning will be carried out by Eiffage Energy System. Eiffage Route was entrusted in groupment, the contract of design construction urban circuit of F1 in Madrid in Spain. The market comprehensive realization of temporary infrastructures as well as the refurbishing of the streets after each addition and creation of new roadways. Eiffage GÃ©nie Civil won the market of securing RD22 against the rockfalls by the construction of 300 meters of rockfall tunnels on several parts of the existing tunnel of Gurnel in Haute-Savoie. Eiffage Energy System won the contract of modernization of the Dullin tunnel on A43, linking Lyon and ChambÃ©ry. Projects comprehends the replacement of switchboards for low-voltage cables and ventilation system and implementation of maintenance -- predictive maintenance capacities. Works will be made at night off-peak hours for a minimal impact on traffic. In Spain, Eiffage Energy Systems won the contract of construction of 250-megawatt Cabra powerhouses and 50-megawatt Olivar for an amount of EUR 134 million. The turnkey project integrates the provision of main equipments, infrastructures of linking to high voltage as well as the services of exploitation and maintenance. Our Spanish teams also won the maintenance and installation of climatization (sic) [ air conditioning system ] in airports of MÃ¡laga, Granada, AlmerÃ-a, Seville, and Jerez also guarantee the efficiency of the systems. This project foresees also the maintenance of various infrastructures, including high-voltage, low-voltage and auxiliary systems. Eiffage Energy Systems also strengthened its position as a leader in the health system in Spain with the contract of maintenance of 130 center of health of Mutua Universal. This contract encompasses also audits on all the centers in order to increase the energy efficiency of the establishments. X-ray systems maintenance has also been reconducted -- extended. As announced last week, Eiffage Energy Systems won several major contracts in Germany since the beginning of the year, consolidating its position of player -- first rank player in the area of energy services. First half year, the order intake in the country is at EUR 950 million among the many contracts of first half year, EQOS won the market for the construction of high-voltage lines, replacement of cables on 31 kilometers between Philippsburg and Karlsruhe. Globally speaking, on all of the businesses of the works of the group, the order book is end of '25 -- June '25 is growing by 4%, confirming its good visibility on medium and long term. Let's get to the activity. The revenues of the group is growth again at plus 8.4%, enjoying organic growth and also the support of external growth in '24 contributing to the strengthening of the European meshing, especially in Germany. In France, Eiffage Immobilier delivered a project grouping a 4-star hotel, housing units, shops, parking in Saint-Jean-de-Luz, the works were devoted to Eiffage Construction, a project within the -- project of revitalization of the city. In Belgium, Eiffage Construction delivered in the center of Brussels, the new headquarters of the Belgian television, a building of 38,000 square meters for 18 studios. Matching the technical acoustic energy challenges of the media, which is in full transformation. Still in Belgium, we laid the foundation stone of the new headquarters of Defense, 4,000 employees and it will be almost neutral in carbon. Ceremony was the presence of the Minister of Defense, here on screen for the kicking off of the works, the site opposing the headquarter of NATO, will be operational in 2028. In Switzerland, Eiffage Construction delivered the Tivoli Garten project, 110,000 square meters of floor area, 445 housing units, 5 buildings, 2 towers of 19 floors, parking spaces, offices and commercial premises. On the Route, the new factory LEA inaugurated in July in Peru is making plant-based asphalt mixes to increase the decarbonization of the road industry. Production of binders and emulsions patented by the group was made in small quantities and now we'll be moving to the industrial scale. Since 2016, Eiffage Route leads several experimentation on roads and motorways everywhere in France and has developed a whole range of plant-based asphalt mixes. Another illustration of the evolution of the businesses of the road a demonstration -- full-size demonstration inspired by the concept Ã‰coasis. On the portion of the road to San Jose, our teams implemented a 100% road, which is permeable. In the case of heavy rain, the rain is stored in the reservoir before infiltrating the water table. This realization is a new generation of urban infrastructure, combining technical performance, sustainability and adaptation to climate change. Civil engineering, our teams integrated an unit of primary settling unit in Seine Aval, the largest in Europe, enabling to process waste water for 6 million inhabitants. In Montpellier, we made a cycle gallery, 400 meters long with secure lanes to improve the urban mobility. This project regulated by the Mont-Blanc laws will be totally transformed to soft mobilities participating to the creation of a new regulation. In the framework of the renewal market of truck equipment, our teams are being intervened on the LGV Atlantique and LGV South- East Europeans, works are made special at night as to preserve the traffic of TGVs in the day. Some equipment may be 220 meters long. On the project of EPR2 at Penly, the earthworks that have been launched at the beginning of the year now reached 1.2 million of cubic meter. The first 1/3 of the seawall at sea work started in March '25 are almost finalized. Over 2,200 grooved cubic concrete blocks, 20 tonnes each are made now. 14,000 blocks will be prefabricated on site to implement the double shell that will recover the seawall to protect it from the swell. The 2 first phase of the interconnection of Saint-Jean-de-Maurienne, meeting the south part of the new train stations are now finished. Our client now can switch trucks and transfer the traffic on this platform so that we can restart, resume the work of construction of the northern part in September '26. This phasing enables to maintain an ongoing service during works. In Germany, the rail teams implemented works of renovation of the tracks on 11 kilometers of the tracks between MÃ¼ncheberg and Rehfelde, an essential line to link the local population to the capital city of Berlin. And in Norway, the motorway project E18 reached 80% of progress. Access already made tunnels on board. As you see, the deck of the cable state bridge is being fabricated -- manufactured right now. The second of the 3 pontoons of the future wind park in Golfe du Lion is assembled by Eiffage Metal in Fos-sur-Mer 16 kilometers offshore. This will produce the consumption of a city of 50,000 inhabitants. The Cathedral Bridge has been commissioned beginning of last week, it's a new step of the Charles de Gaulle Express. This bridge manufactured in Eiffage Metal in Lauterbourg, replacing a 100-year-old bridge. Goyer finalized the facades on the refurbishing of the former headquarters of ORTF in Paris. Teams finalized over 10,000 square meters of facade and aluminum blocks in the framework of the enlargement of the Campus Thales - HÃ©lios Ã VÃ©lizy manufactured by Eiffage Construction. Our teams in Belgium are transforming the Antwerp-Bruges port in a smart space, implementing 100 sensors IoT and a new software structure to optimize the communication of the connected devices. Besides an efficient functioning operation of the port, sensors enabling energy monitoring, enabling also the management of waste and enabling fire detection. In Spain, we started the installation of a new storage system with recycled batteries in the sun farm of Almendralejo. In this framework, new batteries and used batteries coming from electric cars are used in parallel. The challenge is to analyze the performance and the behavior of the recycled batteries compared to new batteries contributing to the promotion and development of circular economy. Eiffage Construction association with Goyer, [indiscernible] the HOPEN Tower at La DÃ©fense built in 2002. It has been totally restructured and raised. The project was a requalification of this building, IGH with a lateral extension on 26 levels and adding on 3 floors. In Marseille, the new jail of Baumettes has also been delivered following 4 years of work by Eiffage Construction, Eiffage GÃ©nie Civil and Eiffage Energy Systems. Market was about the demolition of the jail for men as well as the design, construction and development of a new jail on the same place. Data center of the American group CloudHQ, in Lisses has inaugurated June '25. With its future extension to become the largest data center in Europe, construction and equipment of this building have been made by Eiffage Energy Systems and Eiffage GÃ©nie Civil in 2.5 years. The waste heat produced by this data center will be made available by Grand Paris Sud, who will develop a heating network to fuel 7,000 housing units in 3 months. Eiffage Construction finalized the transformation of the former headquarter of the newspaper Courrier Picard in Amiens, transforming into 48 housing units of high-standard, ambitious projects meeting the iconic facades of Art Deco of this building. This operation was made by Eiffage Energy Systems in charge of the electricity for this project. Eiffage GÃ©nie Civil, Eiffage Metal and Eiffage Energy Systems contributed to the Barracuda program with the implementation of welcoming infrastructure and all the electrical infrastructure for conversion of energy for the power of the submarines. On screen, the integration of July 4 by the Minister of the Army on the naval base of Toulon, which will be for the maintenance of Barracuda-type nuclear attack submarines. It was an occasion to commemorate the commissioning of the submarine Tourville. In the U.K., on HS2, the teams of Eiffage GÃ©nie Civil have finalized installation of the 16 prefabricated beams of the Godington of 94 meters. It was a challenge since those 20 meters beams, 38 tonnes were brought from Ireland and needed the use of a 600-tonne crane. Beyond this organic growth, we have continued our development, external development. During the first half year '25, we acquired 6 companies, all active in energy services. As alluded too, in the opening of my speech, we have finalized the acquisition of HSM Offshore Energy in the Netherlands, provider of integrated solution of engineering, construction, installation, especially in the electrical systems, mechanical systems for the wind farms, offshore wind farms. This company specialized in the specific structures for emerging markets as the capture and storage of carbon and the production of hydrogen. In the area of Rotterdam, this company generates a revenue of EUR 300 million and employs 140 people. By the acquisition of HSM. We have also the jacket and substation of the wind farm East Anglia TWO in Northern Sea for EUR 260 million, by Smulders. On the same field, Smulders have been retained in '24 for the manufacturing of 64 pieces of transition for an amount of EUR 150 million. The 5 other acquisitions contribute to strengthen our meshing in Europe in the energy services. In Germany, after the acquisition -- major acquisition of Salvia and EQOS, we carry on our acquisition with the company's IFT and Esacom, representing EUR 35 million of revenues and 100 employees. We just concluded 3 acquisitions in Spain, enabling Eiffage Energy Systems to strengthen its territorial coverage and its expertise. Society -- CVS, specialized in the refrigeration solution as well in detection and fire protection, EUR 60 million and 300 employees. M3i and Inmotechnia, so as to have a national coverage on the centralized management of buildings, EUR 15 million of sales and 100 employees. Major implementation of Eiffage Energy Systems in Europe, Spain had over 5,000 employees in 24 for a sales of EUR 1.1 billion. As said in the annual results, the dynamic of the various markets in the different businesses and the external growth enabling the speeding up of the meshing -- European meshing is modifying in time the relative weight of the various businesses of the group with the branch energy system representing now 38% of the global activity. Besides the major trends in February '26, the Europeanization of the business of the group, 17% of growth in Europe outside of France by organic growth parts of market share and external growth, the group has now 42% of the activity outside of France as compared to 31%, 4 years ago. Concession side, preparation works of motorway A412 are carrying on to finalize the regulations to get the aforementioned regulation. The winning by tender of the new headquarters of The Port of Marseille Fos is illustrating again the capacity of the group to mobilize all of its business lines to secure new assets. Eiffage Concession signed on 24 July '25, the partnership contract for the financing, the design, construction and maintenance of this new headquarters. The project, has also a real estate and ambitious operation valuing the adjacent plant. Those 2 operations represent EUR 120 million of work that will mobilize all of the businesses of the group. Upon delivering 2030, the project will integrate buildings of offices, a museum, auditorium shops and restaurants on over 17,000 square meters. NovÃ© is continuing its strong traction -- operational traction and its capacity to deploying its project of construction, renovation and real estate management. 1,000 housing units, building renovation have already been delivered end of July '25, more than 100 projects are underway in all fronts. Concession-wise, motorways. Traffics are robust on the vast majority of our Concession, especially APRR, with a progression of 2.2%. To be noticed, the ramping up always dynamic on ALIAE with a growth of traffic of 11.7%. Our motorway networks are welcoming more and more electric cars we have a very dense network of charging station, high power of 100% of our areas. To meet the demand the number of charging stations increased by 50% between July '24 and July '25. And the unavailability rate, which was very weak, has been at the same time divided by 2. To participate in the development of sustainable mobilities, we support also the collectivities and the development of multimodal areas by cofinancing areas of carpooling. We inaugurated last April in the area of Chevigny-Saint-Sauveur near Dijon, in presence of the Cabinet Minister, FranÃ§ois Rebsamen. It's already today over 6,000 parking spaces on 78 parkings of carpooling on our network. Summer period is always a source of very great activity on our networks, especially on our areas where our teams are mobilizing from the patrol people to the manager to welcome as best as can be for our clients to make -- for them to take a break, which is something paramount for the safety of everybody. Over 100 red vest mobilized employees in our concessions to support our customers. After the highlights of our businesses, let's not forget the challenges, which are of concern to everybody. Our capacity to attract, promote and gain loyalty, more and more talent to support the development of the group. Over the 4 past years, our workforce moved from 73,500 to 84,400 employees, 15% increase. Also our capacity to roll out the carbon strategy, climate strategy of the group, bearing on 3 pillars: Reduction of our greenhouse gas effects; preservation of resources via promotion of circular economy; and concrete actions in favor of preservation of biodiversity. The CDP Climate ranked us end of '24 to A- recognition of our commitments and our efforts. To push this in our value chain in the ecosystem of the building, the group had the initiative of BlueOn, the first marketplace, put it on the same level, technical data, financial data and carbon data of our product so that each and every buyer can be able in real time to integrate the carbon data in their acquisition. This marketplace has already over 40,000 references. We just released the sixth edition of our Climate Report, ID card of our commitment for ecological transition illustrating our determination to describe the environmental strategy and the core of the businesses of the group. After this 360 of our highlights, let's get back to the major figures of the half year. Sales growth of 7.5% compared to the same period of '24, differences of dynamic given the businesses, but all of our business lines have -- are back to growth. As expected, organic growth is sustained and external growth in the branch energy system significant. In the Concessions, the motorway traffic is robust, an operational performance which is solid within an operating profit and increase in works and in Concessions. And a net result, which is increasing impacted by the exceptional contribution to corporate tax in France. A significant decrease of debt by EUR 700 million in spite of external growth. And the order book again -- up again to EUR 29.5 billion, so a 4% increase over a year. Those elements confirm our perspective for '25, an increase of activity and our current operating profit in the Concessions and in works, especially supported by new improvement of the profitability of Eiffage Energy Systems. Eiffage Energy Systems will have an activity close to EUR 8 billion and an operating profit margin reaching 6%. Net profit group result will be an increase as to tax constant and after an exceptional contribution to the corporate income tax in France. Our businesses remain well oriented. Our visibility is strong. All this delivers confidence to maintain the strategic direction we set in spite of the geopolitical turbulences of the political instability amplified again in the past couple of days. Thank you for your attention. I invite Christian Cassayre to give you a detailed explanation of our financial elements.
Christian Cassayre: Good evening, everyone into the details of these figures. Revenue was up significantly at 7.5%, so including 4.3% organic growth. These growth rates is similar to those of last year. The geographic mix is unchanged. Limited growth in France, but strong momentum in Europe outside France. And you can see on the chart that the -- we're looking at 15% to 20% annual growth over the past 5 years because of targeted acquisitions and strong organic momentum, 6% to 10% per year. On our European subsidiary, on this half year, we have a 17.4% growth in Europe outside France, including 6.7% organic in the work business, Organic growth stood at 4.5%, and this is because we are well positioned on very promising markets such as transportation, infrastructure, nuclear energy electricity transmission, renewable energy, wind power and solar plants and, of course, strong positions in Spain and Germany and in line with our investment policies as Benoit just said. And so 42% of works businesses outside France compared to 30% in 2021. Profit from ordinary activities was slightly up EUR 9 million. This is limited in spite of the good performance, and this is because we have a much higher expense for the employee shareholding plan, an additional EUR 60 million compared to 2024, including EUR 51 million in the holding company and EUR 9 million in the concessions. And so this is because the share price went up significantly during the period where employees could subscribe to the employee shareholding plan. And so this is completed and all that amount was recognized on H1. Other than that, we have a 20 basis point growth in the works business. And so profit from ordinary activities was up 34 million, up 16.4% where revenue was up 8.4% and a slight decline in concessions. Then again, that's because of the shareholding plan recognition under IFRS 2. In the construction business, revenue was stable over the half year. The first quarter was significantly down, but second quarter was up plus 4.4% new buildings, both residential and service property, commercial property remain deteriorated slightly well compensated by renovation, especially energy renovation, public communities, and of course, the gearing out of the Nove contract. Property development was down more than 24%. And in this context, you can see that our profit margin was pretty resilient at 3.4% because of a very selective policy in picking new businesses, but also being very careful to keep our SG&A under control in a very agile mode. And so that means that our margins remained up in the building industry, not just in France, also in Belgium, fine performance over time, and that good performance of the profit margins in the works business is quite essential because property only generates EUR 11 million in profits for ordinary activities compared to EUR 24 million in 2024 for the half year, but still that's a 5% profit margin in the property business. And finally, our order book was pretty good, upwards of EUR 5 billion, and that doesn't include the 2 new deals that you have on the slide that was very recently added. We published a reference guide on water and marine environments, and we just published this. We have specific applications. All our businesses are implementing this. And that shows our ability to address the water shortages. Here, you have the Combes project in Antibes Juan-les-Pins, La gestion intÃ©grÃ©e de lâ€™eau as part of the partnership, urban development project is implementing water management, integrated management -- water management principles to limit soil sealing, having expansion zones for natural floods and recovering in storing rainwater and gray water. In the Infrastructure business, we have a sustained growth in France in spite of a lower volume in metal. Eiffage GÃ©nie Civil was up 11.3% because of big operations, the MÃ©tal [Foreign Language] motorway tunnel and work in preparation we in pen and of course, the gearing up of the 15 metro line. Eiffage Route in France had a growth of 2.5% in revenue compared to plus 0.7% in 2024. And internationally, Eiffage GÃ©nie Civil grew 8.9% with big infrastructure projects, the high-speed line, HS2, the motorway in Norway in our German subsidiaries going up more than 6%, still internationally for Eiffage MÃ©tal significant growth in revenue, up 25% on wind project, but also because of its German subsidiary, SEH, we don't mention it much, but it works on metal bridges and heavy structures, industrial structures renovation. HSM has been integrated into our accounts since the first of June. So the growth in metal, which is stronger than the rest of that business line. So this business is less seasonal and that has improved the profit margin, which stands at minus 0.2%. But as usual, we remind you that this is not representative of the performance for the year as a whole. Ecocity, as is Benoit de Ruffray mentioned that, again, this is about district cooling and reducing the environmental impact of public facilities. On the picture, you have an operation in Belgique, Bruxelles, where buffer storage of about 500 cubic meters was built under the road. And this is a reservoir for vegetation that was planted along the road. And you also have water coming from the drain -- local drain pipes. Revenue from Eiffage Energy System remained pretty dynamic, even though there was a slight decline in organic growth to 3.2%. In France, revenue was up 3.2%, 2.7% in organic terms. And so it is outside France that we generated growth on well designed, well targeted European markets, Spain and Germany, in particular. With the acquisitions of IFT this year and Ecocity at the end of 2024, these 2 big markets are the main markets of that business line outside France, and we have a critical mass upwards of EUR 1 billion in revenue in both countries, and we are -- we will be building on these positions. Operating profit margin keeps going up in France in spite of lower growth than around the world, but our order book has been growing as well to EUR 8.7 billion, especially in 2 countries I mentioned, up EUR 700 million, 1 year and since the beginning of the year. Eiffage Energy System as a new offer of diagnosis and detection of leagues in forced without stopping operations, it uses high- frequency ultrasound mechanisms that can sense acoustic waves from the equipment. In concession, we find all our assets consolidated, not including Getlink. On the left-hand side, you have the end of the concession year and the holding rate, we have about EUR 400 million in revenue in businesses not including APRR and IR. These are young concessions, so they are still a long way to go, and they are gearing up. You can see A79 is a case in point where traffic was up 11.7%. One point you have lower revenue for Nove. That may seem surprising, but this is part of the plan. This is because of vacancies during work projects and of course, work projects have been growing up and so there are more vacancies. On APRR, traffic remained robust at plus 2.2%, including 2.6% on light vehicles. Of course, the comparison basis was favorable. There's a slight decline in the EBITDA margin. That's simply because of the additional charge under IFRS 2, the shareholding told you about, and that was a decline of 50 basis points for the half year, but that will be less over the year because the entire expense was recognized for this first half year, you may remember that the lower performance in 2024 was because of the tax of Motorways and that amounted to EUR 61 million for this half year. And we refinanced at the beginning of the year for a 5-year period with a possible extension of banking credit lines of FRE and APRR. And we also issued a bond in May of EUR 500 million, the rate being 2.875%. Regarding our other assets outside the APRR network, we have the EBITDA margins, about 80% on motorways in France. With the exception of Alia, net margin is diluted by the service areas that we have there. On the right-hand side, we have the contributions of concessions and PPPs to the current operating profit for ordinary activities, as well as goodwill amortization in 2029 and 2022, over 35 kilometers on long motorways, we build multifunction water basins worth EUR 50 million. So this is to manage surplus water when there are heavy rains, they also depollute water on a daily basis. and prevent accidental pollution. They are compulsory on new motorways where we decided to have them also on for -- on other sections of the APRR Aliae motorways with catching up work. A few words about Getlink that was consolidated on the equity basis since April 2023. On the right-hand side, you have the key figures at 100%. Getlink's contribution to net profit in the H1 is EUR 31 million. You have 3 parts in that. Our quota of EUR 130 million stood at EUR 23 million, a leftover or residual quota for 2024, EUR 15 million. And of course, we have goodwill amortization, a charge of EUR 7 million. So that gives you the details of revenue and current operating profit. On the other items, you have other expenses and other income and expenses, noncurrent EUR 24 million compared to EUR 18 million last year. This is a net charge that it was EUR 28 million 2 years ago. So there's some volatility there. The net financial debt -- net cost of financial debt is under control, down EUR 5 million, but with the new bonds for APRR have been issued at higher rates than the previous ones, but the net debt is coming down. And then, of course, the key item in the whole story is the additional tax burden, up 50% to EUR 353 million. That's because of the special corporate income tax, additional tax for big companies in France, and this is, of course, overrepresented in the half year because most of this is recognized upwards of 70% in the first half, EUR 135 million. Its effect on the net profit group share is EUR 83 million. Having taken into account the quotas from minority interest including APRR. So the net profit group share stands at EUR 308 million would be up had the tax basis being unchanged. If you look at the net debt bridge, you have all the figures there. EBITDA was up EUR 90 million, including the EUR 60 million additional charge I mentioned. Dividends from companies on an equity basis, EUR 72 million, mostly Getlink, of course. The seasonal variation of WCR is higher this year, EUR 892 million. But for 5 years running we actually had a surplus of EUR 8.8 billion in cash, especially coming from works. And so after taxes and interest, we have operational cash flow standing at EUR 451 million in green, down, therefore, EUR 100 million. Then in red, you have CapEx, higher in works and concessions, you're talking about development CapEx for new assets and these have been growing where you have Nove, you have Harbours, you have the A412 rather than renewal CapEx. So all in all, we're talking about EUR 542 million in CapEx. And so the free cash flow is slightly negative, EUR 91 million. You have the double effect of growth CapEx for conventions and seasonal -- higher seasonal variations of WCR. You have to keep in mind that cash flow generation is structurally low in H1. Sometimes it's negative because of the seasonality of most of our construction and works. Businesses external growth stood at EUR 23 million, and these are the acquisitions of HSM and Eiffage might think this is not much. But that's because it includes as a trade-off of CapEx you have cash coming from these companies to the tune of EUR 180 million. It's mostly negative WCR. So they are cash generating from these companies. And so the EUR 23 million is EUR 205 million for the acquisition per se and EUR 182 million of cash generated by these companies. And then in blue, you have dividends. You have treasury shares. You have dividends paid by APRR to its minority shareholders and the dividends that we at Eiffage have been paid to our shareholders, EUR 452 million. And so you end up with a debt of EUR 9.9 billion, down EUR 700 million over 1 year. Of course, this was made possible, even though we had significant capital expenditure. You may remember that in H2, 2024, we acquired Ecocity and then we had acquisitions this year. On the right-hand side, you have the debt, EUR 9.9 billion. We have -- the debt is down EUR 700 million. You have a decline in EUR 170 million in nonrecourse debt that's in black. And then the cash available to the holding company and in the works businesses, EUR 578 million. This is net cash. The gross cash managed at the holding company is EUR 2.5 billion. And so at the low point in cash flows in the year, we have sufficient cash to continue develop our activities. On the order book, a few words, which already mentioned by Benoit, order book is up again. You have to keep in mind that even without major new orders, we've been renewing our order book in our legacy business with, of course, differences from 1 business to the other. You can see this on the right-hand side, that reflects variations on the market. Rather than that's an overview of the position. Thank you for your attention.
Unidentified Analyst: I have 4 questions. First, can you give us your feeling about the real estate market in France, given the recent turbulence in politics, can we imagine that this will bear on the confidence of the households. I'd like to have your point of view on that. Second question about the variation of the WCR, what can we expect on the whole year. And on the German point of view, you also mentioned, can you tell us the quantity I mean, what could it mean for Eiffage. What can you hope as a contribution for the activity of Eiffage in Germany? And one last one. On the motorways, Sanef and ESCOTA had discussion with the authorities on the investments to be made in order to make the motorways to be in good shape at the end of the concession. So what did you hear about those discussions underlying question. Is there a risk of surprise, investment of the -- on the motorways.
Benoit de Ruffray: Not insight regarding the recent decision for the past few days. We are in a market which is extremely impaired. The market of the tertiary is halted. Residential market is really, really impaired. First half year, this impairment was increased by the disappearance of the individual investors because the French system P&L disappeared. And to go in the direction of what you mentioned, it will not be better in months to come. The weakness of the delivery of building or construction pyramids. We suffer a lot from that, weighing on our offer. So indeed, no improvement to be foreseen in the months to come. Hence, we have to remain slightly optimistic. We're working for the medium and long range with our activity of redeployment, aggregating our expertise as a builder and a real estate to work with the local collectivity in the various neighborhoods and in this period of scarcity of areas, so we can focus on the medium range that will enable us to come up with operations when things will improve. Basically, we had the decrease already. We are very low. I don't think we can go even lower because the real market today is the accession to ownership. So basically, it's people who are in necessity to and are paying to provide because we had no construction permit. So -- but what is happening is never good for trust. Trust is really the engine for a decision in terms of real estate. Christian, can you deal with the WCR.
Christian Cassayre: Yes. Difficult. EUR 160 million on the works. This is where we have to be really attentive to WCR. Look at our balance sheet, we have an increase of current provision. So we are a decrease of -- and this decrease is explained. We'll have a WCR that will vary, slight increase. This is what should be taken into account with this difficulty to foresee the payment of our public customers by the end of the year. It's difficult to give you more precisions. I think we can anticipate a slight decrease. These variations of WCR on 6 months are erratic but the -- the for the group in terms of days has decreased over the rolling year in June. Let me remind you the figures of '24. We had a cash exit of EUR 700 million and income 700 million, meaning that we cashed EUR 1.4 billion in the second half year, '24 minus the EUR 800 million that were sold out in the semester. We have a reduction of our WCR in number of days compared to last year. If we have the support of the companies that we acquired the decrease of 5 days. So we have a good global performance. One part is done over the major contracts that we are repaying on the go. Part of the equation depends on our question, possibility to secure new projects and that will secure less than what we secured in the past years. And so it's prudent to anticipate a slight release of cash by the end of the year. It's long and difficult, but we can really discuss that later.
Benoit de Ruffray: Thank you, Christian. Regarding the German plan. We have a lot of businesses which are exposed since in the metal construction. We are exposed on many railroad renovation, the major stations that were bombed during World War II, rebuild not a lot of maintenance. Well, today, there's a lot of work to be performed. It's an activity that will take a lot of time, a certain amount of bridges, which are limited for the traffic in Germany, there are tremendous amount of them. So the -- if you want to have a resumption of the economy, you have to rebuild the bridges. So it's been some years that were between 10% and 20% of growth. At the end of that, we have men and women to all do that and the capacity for me, in the short run, it's a lot of visibility. It's -- I would say that the first good news of the German plan is the attractiveness of our businesses when there's a certain amount of restructuring in Germany. Our businesses are back to retaining people and attracting people. So we're on the way to increase our workforce. It's the metal work. It's the civil engineering. It's the railroad and the energy system district. We have also the additional challenge of the mutation of the energy in Germany. So the production of E&R, which are on the north of Germany, you have to bring them back on the industrial sites. We talked about the annual results of the major contract, which is a corridor of civil engineering. Once the civil engineering will be done, you have also to lay the cables. This is typically the activity of energy system work. But do not expect a tremendous step up immediately. And there's the capacity to prepare this project in terms of engineering. And all this needs requires growth in the workforce. So what we expect, what we hope will have the models, PPPs, that will be an accelerator of the implementation of those projects. So medium, long range, it's excessively positive. Short range, it's going to take time to have a real effect in our activities. It remains excellent news for all of our businesses, which are exposed. Last question was regarding the return of the motorways to the state. Thank you for your question. I was to tell you that the government is maintaining the highways. The motorways they are well maintained. We are also meeting the indexes of performance as in the contracts. Regarding the end of concession, we are delayed because the termination of our contracts is in 2035, 2036, we're not in the same level with the cabinet ministries. Our friends of Sanef and [ Escota ] told us that the discussion with the ministry went rather normal. And we anticipated also because we are sharing as of now with the Ministry of -- the cabinet ministry in very constructive terms. So it's biding well for the future. Another question?
Unidentified Analyst: Here to extend the question of Eric Lemarie on [ Firmagon ] the German plan regarding the construction and defense we have not to expect a fallback on '26, '27. This is what you mean to say. And on civil engineering in France, we didn't talk a lot about that. What is the magnitude of the growth this year to be expected knowing that the FNTP after the good performance of '24 had forecasted for '25 and '26, is slowed down. Do you confirm? How are things improving?
Benoit de Ruffray: On the German part, I think it's going to be before '27, but there's also -- you have to be cautious because some elements -- and this plan that have already been launched, we acquired more certainty under implementation because they are finance and those projects will be materialized earlier because the studies started things which were not foreseen and which are in this recovery plan will be -- will take longer. It's going to take more time to ramp up. Regarding the French side, we have to separate things, really. You have the road businesses. Classically, we always heard about the electoral cycles. Municipal elections in '26 are good news, end of '25 and beginning of '26, the good news is -- and the beginning is always bad news for the next period. So what's important for you, you see it, we are in growth now, but it's not hyper significant. There is a basic evolution compared to the former electoral cycle. The decision in terms of road maintenance is much more taken in collectivity of municipalities and not for the elections. And we have slightly more activity, but the amplitude we experienced 2 or 3 elections ago, which were tremendous before has globally disappeared, has been totally mitigated. This is the road side. Where we have more problems to understand is the department, the French department, which has lost somewhere. There's no activity. The municipal part is working correctly. Then on the other investments, which are more supported by the government, the major investments that we have experienced in the defense, on the major Greater Paris, on the nuclear, well, that's -- we'll carry on, and we have orders and that we'll carry on will be supported by those projects. Whatever happens nationally, we already have a tremendous activity to be implemented. So we have a visibility on that for the years to come in France. Are further questions? Yes.
Unidentified Analyst: [Foreign Language] Sorry. So many things are going on, on Getlink side. So any expectations on Getlink? Will you be buying more shares, more -- getting a greater stake in Getlink?
Benoit de Ruffray: All right. You're talking about the Eurostar's competitor and the purchasing of shares.
Unidentified Analyst: Well, if there are more competitors, you could expect that the various players will see their share prices go up. So it's the good time to buy the share now or not?
Benoit de Ruffray: Well, look, regarding Getlink and possible new comers, well you'd have to ask Getlink about that. From a more general standpoint, and I said this before, what you have to realize is that the rail network, the French rail network or Franco British Rail Network, this is a highly dense network. So it will be pretty difficult to add tracks and routes. I mean, you can't do that overnight. There are all sorts of issues building or rather operating railway stations, maintenance and such like. So Getlink has done a lot to address a number of technical challenges, but that takes a lot of time. I mean, right now, in France, you have a train that might leave Marseille late because somewhere else in the country, another train has run into delays. I mean you have a complicated sort of Tetris-type network. And so 1 delay somewhere causes delays all over the country, and there are also issues of maintenance, underinvestment that we all know about that. And that means that developments are very slow in the rail business. But eventually, you could expect more traffic in the channel tunnel. That may well be the case. We will take a lot of time. It will take a long time. We still have the long view for this asset. We're delighted we invested there. But I mean, right now, the concession won't start until 1986, so we have -- 2086, so we have plenty of time. Due to the organic growth targets and acquisition targets, by the way, I mean, you have to know before you make an acquisition, you have to make sure you can take it on board. Well, there were 5 acquisitions since the beginning of the year. So this is a sustained pace of M&A. Our strategy very much remains the same as last year. In other words, we are building up our presence in those countries where we do have a presence either to cover the geographic area or to acquire new areas of expertise. And then in France, we -- there's already -- it's already a pretty tight network. And the only acquisitions will be for new areas of expertise. But -- so we work on an opportunistic approach for possible acquisitions. And as you said, in Germany, we're looking at consolidating the acquisitions made last year and the years before. But we see that the order book paid off, I mean -- and even though these companies were bought up, they were still taking orders to the same pace. So there's no disruption there. And other than acquisitions, you have to know that we've been working hard in Germany, our legacy companies there were not -- they did not have the critical mass or the type of management needed to drive growth and to position Eiffage on the German map. So we had to make more significant acquisitions. We are taking them on board as it were. There are 4 big markets, heavy industry infrastructure, commercial services and local authorities. And so we have a full coverage of the German market. But of course, that means it has to be integrated into operations. But now that we have these platforms, of course, it makes sense to have bolt-ons with geographic or expertise acquisitions on much smaller companies acquired on a smaller basis, so easier to take on board. But most of the time, these are -- have been identified by our own people working in 1 area or 1 field of expertise. And so these acquisitions are much less risky. So that's what's going on now. And so in big countries such as Spain and Germany or the Netherlands, Belgium, France, of course. But also in Switzerland, we have now resident platforms that enable us to have bolt-ons whereas before that, we didn't have this ability in Germany. Regarding guidance on profit margins, there's no change really compared to the annual numbers, the annual profit on the construction business, I think. I hope you can appreciate the performance of our construction teams because they were able to compensate the loss of profit, that profit losses from property development. And this was offset by developing the building industry. If over the year, we can keep an equal profit margin, that would be pretty good. But even if it's down, it won't be more than, say, 10 basis points. On the infrastructure department, and where we have roads and civil engineering and metal. There, we hope to see some improvement in profitability, but I told you the same back in February.
Unidentified Analyst: Coming, would have been disappointed if we did ask you about traffic, road traffic?
Benoit de Ruffray: Well, yes. Thank you. You asked about road traffic. This summer is not over yet because you have people coming back from their summer vacations. So far, things went well on an operational viewpoint. In terms of traffic, we're looking at a 1% growth compared to the summer of 2024. There is strong momentum on area, and that means that people love to go to the mountains for the summer vacations, you can learn from that, maybe you can make your own summer plans based on that. Right. Further questions from the floor? If not, we'll have questions online.
Unidentified Company Representative: Thank you. [Operator Instructions] We have a question from Elodie Rall from JPMorgan.
Elodie Yvonne Daniele Rall: Good evening. And sorry, I couldn't make it in person. First question is about the energy business that you mentioned, margins are up 30 basis points in H1 and you're looking at 6% for the year. So that would be an additional 20 basis points for the year. But it would mean that the profit margin growth would slow down in H2. Is this being conservative? Do you think you can do better? Would you have real reason to believe that margins will slowdown in H2? That was question number one. Question number 2 is about the effects on this special corporate income tax. This -- you had citing that you postponed to H2. But the total impact of that tax is what will it be for the year as a whole? I mean, we're talking about EUR 205 million, I believe, for the year as a whole based on the profits from 2024. But can you give us the full impact -- the tax impact for the year as a whole? And do you have any expectations about what you expect for 2026? And what's your take on recent developments in the French government, would that make -- will that make any difference to Eiffage's business? And the question about dividends. If taxes keep going up, you increased your payout to 45%. Do you think you could do still more to offset the tax effect?
Benoit de Ruffray: Ludovic, it's all yours.
Ludovic Duplan: Right. Well, you have noticed that for the past few years, we've been working on improving profitability. We've been doing this steadily. Of course, that doesn't prevent us from looking for growth and the growth has remained steady as well in H1. And so current operating from ordinary activities has been going up as well as revenue. So am I confident that we will make the 6% margin? Yes, and EUR 8 billion in revenue. Again, I'm confident that we will reach that number.
Benoit de Ruffray: Well, you should add to that, that what Ludovic were saying earlier on, we have to be very selective when we take new deals, new contracts, the 30 basis point improvement in the margins in H1, you find this in France and elsewhere. But in France, the volumes didn't grow as much as internationally. So it's not exactly an offset, but it does mean that we're working on making our teams more efficient. And of course, we'll do our utmost 6% margin is something we normally propose to achieve, but we want to improve as well. On the tax impact, Christian?
Christian Cassayre: Well, I can't give you the net profit for the year as a whole, I mean, that will determine the tax level. But you may remember that the EUR 135 million because they were recognized in H1 that we expect to be roughly 70% for the year as a whole. So we're looking at about EUR 200 million for the year, so we can't give you the exact number, but the effect for the year, the full effect not including minority interest, the tax effect will be about EUR 200 million. And regarding the dividend, we did pay attention and our investors wanted to have a clear policy. And of course, we stated defined a policy last year, we're not going to change halfway through. So we're sticking to that policy. But we -- well this special tax this year, of course, you can expect that this will have an effect on dividends. But nonetheless, the business is looking good for the year as a whole. And the Board is well aware of the fact that we have to have a clear position at the end of the year to see just how we can pay out a dividend. Now things are pretty unstable right now. Of course, we'll have to wait and see what comes out in terms of budget, in terms of possible changes in the corporate income tax in France. But 1 thing is for sure, that dividend policy when we introduced it, that was well appreciated by our investors. And of course, investors want to have visibility on dividends, and so we're working on that. But I can assure you that this will be part of the discussions we'll have at the Board when the issue of dividends comes up next year.
Benoit de Ruffray: Other further questions?
Unidentified Company Representative: Yes. The next question comes from a call in English, Ami Galla from Citigroup.
Ami Galla: Two questions from me. The first 1 was on the outlook for offshore wind farms business, especially in light of the comments that we've heard from the U.S. government, what are your thoughts on its outlook in Europe? And in terms of your conversations with your customers, are you seeing any signs of delay or hesitancy to your funding constraints that we are facing for this business? My second question was on the CapEx. Can you remind us the level of CapEx that we should be targeting also on the back of the acquisitions that you've made and the order book growth that we have seen?
Benoit de Ruffray: If I'm right, your first question is considering the change of policy in U.S. on offshore energy, is it right?
Ami Galla: Yes, on the wind farm business.
Benoit de Ruffray: On the wind farm. First of all, as far as Eiffage is concerned, you have to understand that we've carried out only a very limited number of projects in U.S. We always been fabricating directly from Europe and who were shipping or pieces towards some U.S. wind farm. One of the project used to be stopped. And at the end of the day has been resumed and has been finalized, is fully given. And we have not any more project. So we have no exposure in terms of our order book towards any U.S. projects and our full activity is based on European project. We are obviously cautious because some of our clients in Europe are the same as the 1 being exposed to U.S., and there are some further issue on the strength of these clients because they are facing some challenges on the U.S. part. But as far as today is concerned, we have not any exposure being expected from what's going on in the U.S. on our offshore activities. CapEx?
Christian Cassayre: With the questions about CapEx and especially acquisitions. You were only concerned about external growth for CapEx. But we don't think in terms of annual CapEx for acquisitions. I mean that would be a risky exercise. The cash available is significant, and it enables us to seize external growth opportunities, but we don't have an annual budget for acquisitions in terms of CapEx. But do you have a question about CapEx in general for works, for instance, here, we're looking at about EUR 700 million for the year as a whole, and we're looking at about EUR 700 million as well in concessions for renewal and growth CapEx, including EUR 300 million on APRR motor work. But I think you concerned more about acquisitions, CapEx on acquisitions, right?
Ami Galla: Yes. It was more in terms of incrementally, do we have to budget in more because you've got a stronger order book as well as the acquired large businesses.
Christian Cassayre: Once again, I mean, we adjust CapEx based on opportunities as they show up. We don't budget ahead of time based on the cash available.
Benoit de Ruffray: No, I don't think we can be more specific than that.
Christian Cassayre: Right. And on that part of CapEx related to concessions, I believe we give you our outlook. Maybe -- yes, we have EUR 300 million in renewal CapEx for APRR and EUR 400 million on the other concessions, a significant portion, about EUR 300 million on the Nove contract, that's been gearing up. And the remainder, we're looking at [indiscernible], harbors and assets that are being operated and then we're just looking at renewal CapEx.
Unidentified Company Representative: Next question from Graham Hunt from Jefferies.
Graham Hunt: Just 2 from me, please. First on construction like-for-like in Q2, you obviously picked up quite meaningfully. Is there anything you can help us with in terms of what we should expect for the second half of the year there, just in terms of growth and how we should think about the phasing of some of your larger projects? And then second question, just coming back to the uncertainty around future tax burden in France. Is there anything that you've done sort of analysis or something that you can speak to, to help us understand the scope of impacts that we could see if corporate tax rates were to go back to a more normalized level from current levels?
Christian Cassayre: On taxes, we do not have more visibility than you have. The aspect linked to the political instability currently in France, the over tax is temporary. In the world of today, it is temporary and that the corporate income tax is at the level it was described in the law in front, i.e., 25%. The only issue we can add or topic we can add is that the exceptional contribution to tax, there is a piece of constitution of the quality before tax and given the very important character of this is implemented, making that some amount of people do not imagine this being implementable on several years, but the change in position and an evolution on the rate itself implemented in France. Well, this is part and parcel of things that are a government may decide in a financing law.
Benoit de Ruffray: Your first question was about the construction side. And on the volume, what we already said during the annual results last February is that we intended to get back to growth in the volume on construction as of '25. We have seen it since we had a first quarter gross negative. And at the second quarter, the growth was enough to offset the decrease. So we are again on a growth 3.6% of first half year, and we expect a second half year that will be still growing more growth on construction also which is an excellent piece of news given the very weak market of real estate, generally speaking, due to 2 things. First is the ramping up of renovation projects in construction. And the second element is the nontypical character of Eiffage by this contract of Nove, which is construction and renewal giving us a surplus of sales as compared to last year. It's the combination of both enabling us to have a growth sales. You have the first indication of the presentation, which is the part of the book of Alda, which is growth. So we will do it during the second half of the year. Next question?
Unidentified Company Representative: No more question for the time being.
Christian Cassayre: Any other question in the room?
Benoit de Ruffray: Well, no more question. Thank you very much for your attention, all of you, and talk to you soon.